Operator: Ladies and gentlemen, thank you for standing by and welcome to the Synopsys Earnings Conference Call for the First Quarter of Fiscal Year 2020. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instruction will be given at that time. [Operator Instructions] Today's call will last one hour. Five minutes prior to the end of the call, we will announce the amount of time remaining in the conference. As a reminder, today's call is being recorded. At this time, I would like to turn the conference over to Lisa Ewbank, Vice President of Investor Relations. Please go ahead.
Lisa Ewbank: Thank you, Laurie. Good afternoon. Hosting the call today are Aart de Geus, Chairman and Co-CEO of Synopsys and Trac Pham, Chief Financial Officer. Before we begin, I'd like to remind everyone that during the course of this conference call, Synopsys will discuss forecasts, targets and other forward-looking statements regarding the Company and its financial results. While these statements represent our best current judgment about future results and performance as of today, our actual results and performance are subject to many risks and uncertainties that could cause actual results to differ materially from what we expect. In addition to any risks that we highlight during the call, important factors that may affect our future results are described in our most recent SEC reports and today's earnings press release. In addition, we will refer to non-GAAP financial measures during the discussion. Reconciliations to their most directly comparable GAAP financial measures and supplemental financial information can be found in the earnings press release, financial supplement and 8-K that we released earlier today. All of these items, plus the most recent investor presentation are available on our website at synopsys.com. In addition, the prepared remarks will be posted on the site at the conclusion of the call. With that, I'll turn the call over to Aart de Geus.
Aart de Geus: Good afternoon. Q1 was an excellent start to the year as we met or exceeded all of our guidance targets. Revenue was $834 million with GAAP earnings per share of $0.67 and non-GAAP earnings above our target range at $1.01. In December, we communicated our fiscal '20 guidance, high-single digit revenue growth, substantial ops margin expansion, mid-teens non-GAAP earnings per share growth and more than $800 million in operating cash flow. We are reaffirming our guidance for the year. Trac will discuss the financials in more detail. Looking at the overall landscape, ongoing geopolitical tension and the recent coronavirus outbreak have generated items uncertainty around the world. Regarding the virus outbreak, our first priority has been the safety and health of our employees, customers and partners. We continue to monitor the situation and support our China teams as they continue to drive business execution. On the churn by those challenges, electronics companies ranging from traditional semiconductor and systems companies to new startups and hyperscalers persist in designing evermore complex chips and devices with a high degree of market urgency, driven by AI and machine learning, automotive, 5G, IoT and cloud expansion. The proliferation of Smart Everything is and will be the central driver for years to come. As a result, robust demand for our solutions has continued in 2020. Our innovation and technologies spanning the spectrum from silicon to software, absolutely central to the ambitious products and systems being built. Let me share some product highlights from the quarter, starting with EDA. An important differentiator for Synopsys continues to be our leading position in enabling manufacturing process development. With highly sophisticated simulation of new technologies, new transistors, and the structure needed for the most advanced fabs in world, we not only assist our manufacturing partners, but we also lay the groundwork for our design tools to be tuned and ready well before these technologies go into production design. On top of that, over the last several years, Synopsys has pioneered a new approach called Fusion that literally fuses algorithms from different tools resulting in faster and lower power chips in far less time. A showcase example of this is our Fusion Compiler product, introduced about a year ago. Within just a few months of its introduction, Fusion Compiler revealed itself as a revolutionary product. It is winning head-to-head benchmarks with consistently superior performance, power and area results across a broad set of applications. Results thus far are ahead of our initial plan with many customer engagements progressing very well, from exploring the tool to usage on a few life design blocks to production roll out. In Q1, we built upon several breakthroughs competitive wins, ranging from the largest global communications, processors and graphics firms to high impact cloud hyperscalers to multiple influential system houses. For example, AMD chose Fusion Compiler for its full flow digital design implementation of its next generation processes. Fusion Compiler is displacing the competition of the large hyperscaler for next generation ARM core-based graphics design at 5-nanometer and below. We achieved a significant win at a large multinational consumer electronics company on next-gen ARM CPU core. We're spending displacement and deployments at a leading mobile company for critical 5G designs at 5-and 4-nanometer. A leading U.S. semiconductor company is deploying Fusion Compiler on all new graphics designs, taking advantage of better run time and quality of results. We displaced the competition for ARM core designs at a leading automotive semiconductor company and we expanded proliferation at a large U.S. semiconductor leader with a new win in wireless design. While still relatively early in our multi-year product cycle, these important wins represent significant momentum and usage share gain, which will flow into revenue overtime. The Fusion concept is very powerful and is getting great results across Synopsys as our innovation continues at a rapid pace. Stay tuned for some exciting new product announcements as we approach our March Silicon Valley user group event. Let me now turn to custom design, a product area that underwent a multiyear innovation push and has seen excellent progress over the last 18 months, not only are we now highly competitive for advanced nodes, we continue to see a growing number of displacements and full flow engagements. Our expansion is driven by fresh innovations focused on maximizing designer productivity. Customers are experiencing this benefit and we saw excellent growth in revenue from our custom compiler product again this quarter. For example, a high impact global systems company expanded its full flow usage in Q1, proliferating after a significant competitive displacement. Additional custom compiler wins include a leading silicon photonics developer and a CMOS image sensor company. Let me now move to our Verification Continuum Platform where we maintain our number one market share position. In verification software, we gained share in Q1 at a large global hyperscaler driven their growing needs for verification capacity across our platform. Meanwhile, demand for hardware-based verification is high across the board, driven by continued complexity growth in new designs. The speed and capacity of our solutions are particularly well suited whenever software bring up is involved. While a strong Q1 last year makes for a tough year-over-year hardware comparison, we continue to gain momentum with both new and existing customers. In Q1, we gained 9 new logos and 34 repeat orders including very high profile systems and semiconductor companies. NEC for example, chose our ZeBu emulation system over the incumbents for their high performance compute solutions due to our superior performance, very fast bring up time and unique debug visibility. In Q1, we also announced the acquisition of the DINI Group, which further expands our half FPGA base prototyping portfolio. Now to IP which continues to deliver strong results, as the number one provider of interface, embedded memory, analog and foundry-specific IP, we provide the industry's broadest portfolio covering all key markets, AI, automotive, cloud, IoT and 5G mobile. Our demonstrated strength in high-performance cloud computing applications is evidenced in several areas. We've already achieved more than 60 design wins in PCI Express 5.0. Our new die-to-die 56 and 112 gig SerDes continues to gain market traction. We also have a significant IP portfolio win with a major China e-commerce company for micro server applications. Our leadership position in USB led to multiple Tier 1 processors semiconductor companies adopting our newest generation USB 4.0 IP and a leading 500 meter process. We're also seeing unmatched leadership and momentum in automotive where our automotive grade IP is being used by 10 of the top 11 semiconductor suppliers to that industry. One notable example is Qualcomm, which selected our automotive IP portfolio including interface, ARM processors and embedded test and repair solutions for their new Snapdragon or Ride Platform for autonomous driving. Finally, we continue to expand our IP portfolio with acquisition of technologies from eSilicon and INVECAS, the latter closing just last week. Along with valuable technology, these acquisitions also enable us to further scale our IP development to meet high customer demand across growing markets. Now the Software Integrity, the tools that test software code for security, vulnerabilities and quality issues. We delivered a solid beginning to the year with business levels up more than 30% over the same period last year. We saw continued progress in driving multiyear, multimillion dollar agreements, booking several across multiple verticals. As I mentioned in December, we've entered Phase 2 of our strategy, scaling into the 500 million to 1 billion revenue space. To accomplish this, we're focused on four areas; one, expanding our cloud-base Polaris Software Integrity platform to additional product integrations; two, scaling consulting engagements to fully leverage a key differentiator in the software DevOps market; three, refining our channel to better serve large enterprise customers, key market verticals and new regional business; and four, evolving our management team for the complexity and size of a larger business. We're moving fast on all of these. Just last week, we announced the extension of the Polaris platform, bringing static testing and software composition analysis directly to the developers desktop. This first of its kind solution enables developers to seamlessly find and fix security weaknesses in proprietary code and known vulnerabilities in open source code, all within that desktop development environment. We also added the team and products from Tinfoil Security, broadening our product offerings for Dynamic Application Security Testing or DAST, and adding API scanning capability. Our scaling efforts in the fields also progressing well as we've ramped up hiring activity and are excited about the sales energy in the organization. A good example of the power of the combination of products and consulting is one of the largest pharmaceutical companies in the world. Our relationships that began with a small initial service engagement to help them respond to a security bridge, has grown to include both product purchases and add additional services to help them proliferate our solutions. We're also moving fast to scale our leadership and management teams to the next level. We have launched an external search for a new general manager to lead your innovation into the $500 million to $1 billion level. While these efforts will flow into revenue over time, we're encouraged by the positive side. There's a tremendous opportunity in this space and we're well positioned to enable companies to improve the security and quality of their software with a combination of high value products, a great new platform and enabling consulting services. In closing, Q1 was a very good start to the year. We delivered strong financial results and our reaffirming outlook for fiscal 2020. Even with some caution around global markets, electronics companies continue to invest in critical chip and system designs as well as immense amounts of sophisticated software. Our innovation engine is prolific and this quarter, we will be introducing a number of exciting new products and differentiating capabilities. We are committed and on track towards our mid-and long-term growth and margin expansion targets. Finally, let me thank our customers for their business and our employees for their dedication and hard work in delivering continued strong results. Trac will now highlight the financial perspective.
Trac Pham: Thanks, Aart. Good afternoon everyone. We delivered strong start to the year, meeting or exceeding our guidance targets for the quarter, and we are on pace for our four year plan. We remained relentlessly focused on execution, generating revenue for the quarter at the high end of our target range and non-GAAP earnings per share well above the range. We produced another quarter strong collections, which contribute to a positive cash flow in a quarter that is typically an outflow due to variable compensation payouts, and we launched a $100 million share repurchase. Our increasingly diverse customer base our strong product portfolio combined with our nearly 90% recurring revenue model position us for success in peers of high demand as well as those of great uncertainty. Multiple factors including the entity list, export restrictions and broader trade tensions as well as the coronavirus situation have added to market volatility. Based on our current view and the strength of our business, we are confident in our abilities to manage through this uncertainty and we are reiterating our guidance for the year. I'll now review our first quarter results. All comparisons are year-over-year unless otherwise stated. We generated total revenue of $834 million. Semiconductor & System Design segment revenue was $749 million, with strong growth in IP and a tough hardware comparison over the strong Q1 of last year. Excluding hardware and the impact of entity list, trade restrictions, EDA software results remain within our long-term target range of mid-to-high single digits. Software Integrity segment revenue was $86 million, 10% of total, and business levels for the quarter increased more than 30%. Because of our largely time-based model, the associated revenue would be recognized over the life of the contracts. Moving on to expenses. Total GAAP costs and expenses were $747 million, which includes approximately 9 million in restructuring costs. Total non-GAAP costs and expenses were 647 million resulting in a non-GAAP operating margin of 22.4%. Our Q1 margin reflects revenue profile this year as well as the change in the timing of general salary increases now in Q1. We're on track to generate approximately 200 basis points of up margin expansion for the year. Adjusted operating margin for Semiconductor & System Design was 23.9% a softer integrity was 9.4%. Finally, GAAP earnings per share were $0.67 and non-GAAP earnings per share were $1.01. Turning to cash, we generated a 10 million in operating cash flow. Including this $100 million Q1 ASR, we've repurchased 1.9 billion of our stock since 2015 or approximately 80% of our free cash flow returned to shareholders over that period. We ended the quarter with a cash balance of 700 million at total debt of 331 million. A couple of comments before I move on to our targets, as I've noted, we delivered a strong start to the year and we are reiterating our full year guidance. We are maintaining our first half, second half revenue split of roughly 45%, 55%, which reflects forecast the timing of IP and hardware deliveries as well as general prudence given the uncertainty around the unfolding coronavirus situation. For fiscal 2020, we are targeting revenue of 3.6 billion to 3.6 5 billion. Total GAAP costs and expenses between 2.95 billion and 3 billion. Total non GAAP costs and expenses between 2.63 billion and 2.66 billion, resulting in a non GAAP operating margin of approximately 27%. GAAP earnings of $3.68 to $3.87 per share. Non-GAAP earnings of $5.18 to $5.25 per share. Cash growth from operations of 800 million to 825 million and capital expenditures of approximately 180 million, we expect capital expenditures to decline in 2021. Now to the targets for the second quarter, revenue between 820 million and 850 million, total GAAP cost and expenses between 724 million and 758 million total, the non GAAP cost and expenses between 645 million and 665 million, GAAP earnings of $0.49 to $0.62 per share and non-GAAP earnings of $0.96 to $1.01 per share. In conclusion, our focused execution enabled us to again deliver strong results, meeting or exceeding our targets. With a very good start in Q1, we're reaffirming the full year guidance provided in December. We are also tracking well to our goals of high twenties operating margin by 2021 and profitability at 30% range longer term, as we move towards our next milestone of $4 billion in revenue. We remain committed to balance capital allocation strategy consisting of investing in the business for gross while continuing to return capital shareholders, as we focus on driving sustainable long-term shareholder value. And with that, I'll turn it over to the operator for questions.
Operator: [Operator Instructions] And our first question from the line of Rich Valera with Needham and Company. Please go ahead.
Rich Valera: Our question on Software Integrity. So you've mentioned you had very good business level and you said 30% increase in business levels, but it looked like revenue decelerated pretty sharply in the business. So just wanted to understand, if business levels refer to bookings and why the deceleration in revenue and what might drive that to reaccelerate?
Aart de Geus: So, you're correct business levels referred to bookings and you may recall that, last quarter reported that 2019 had been relatively weak in terms of bookings. And so, what you saw is the result of that plus whatever was transacted during the quarter. And so, our objective obviously is to now build back to a high level and we will actively pursue that.
Rich Valera: Any thoughts or commentary on when that business might reaccelerate sort of into the double digits routines?
Aart de Geus: Well, I mean, we've just finished what we thought was a strong quarter, so it's easier said than done to just keep doing that, but that's obviously the objective, right, is to invest in some of the channel areas specifically that I think can be more balanced for the opportunity space. And they share that, we move fast on the deployment of the Polaris platform and the integration of new capabilities. Those are sort of some of the cornerstones to the success of a long term business.
Trac Pham: Rich, Just keep in mind that in December, we also highlighted that the -- in December, we highlighted long-term growth for this business and for multi-year period is 15% to 20%. And we are committed to that and we should be able to grow at least with the market or faster.
Rich Valera: A quick follow-up to that. You've talked about the sales force realignment and it sounds like some new personnel being brought in. Where do you think that both the sales force is in terms of structure and personnel relative to where you want it to be? Is there more you need to bring and you feel like you've got pretty much the sort of the headcount you need to drive the business forward?
Aart de Geus: Well, we're now in active hiring. We have hired a number of people. It's both the combination of tuning, meaning putting it in the right organization and simultaneously filling the holes as we see opportunities and there are plenty of opportunities. So, no, we're far from done, but we have a good start and actually some of the changes that we made in '19 appear to have generally these quite a bit of energy on the front of the sales force that feels that they have a better shot this year than last year.
Trac Pham: I'd also reiterate that as part of our plan, we did contemplate the hiring -- additional highs in that business. We'll continue to invest that business as it scales; and as we said in December, which we're still on track for us maintaining margins relatively flat year-over-year.
Aart de Geus: So, all the commentary that we described is consistent with how we're managing the business.
Operator: And our next question from the line of Joe Vruwink with Baird. Your line is open.
Aart de Geus: That's one of the easier questions. It sounds like we have no connection, operator.
Operator: Let me check, if Joe Vruwink your line is open. Okay, he may pop back into the queue here momentarily. I will go to our next person Mitch Steves with RBC Capital Markets. Your line is open.
Mitch Steves: The first one I kind of wanted to point to Trac. So given the coronavirus study, the macro concerns, my question is. Since you guys beat pretty nicely in the first quarter, would you have raised a full year assuming that there was no macro change? Or do you believe that this 30 encapsulated in your full year guide?
Trac Pham: It's affecting our guidance. I would say that it's not a meaningful impact of the year. We did get a very strong start of the year, so after 90 days, we feel very good about the outlook for the business on a full year basis. As we typically do describe, after one quarter, it's a good start and it gives us good progress to the year, but there's still a lot of business left the book.
Aart de Geus: If I may add to that, our business is actually mostly multi-year and so we have actually a fairly high degree of stability in our business towards events like this. At the same time, it is clear that some of the customers or the customers' customers are impacted because they may not be able to ship products. And so, it remains to be seen, if that makes its way all the way to us, but mostly we are quite isolated or insulated, I should say for all of these type of problems.
Mitch Steves: And then for my second one, just on the core EDA business. You guys have talked about a mid-to-high single digit growth. But if I look at this, it looks like the last about 5 to 6 quarters, now it's been below about 4%. So, I guess, why is a time based revenue flat year-over-year, if EDA software is still growing mid-to-high single? Is that just going to accelerate in the back half? And if so, I'm just trying to understand why that would be the case?
Trac Pham: Yes, Mitch, I would separate that question to two parts. The first part is, keep in mind that any emulation does show up in the EDA line. So from a product group perspective, we've continued to grow very nicely in hardware and that tends to be lumpy quarter-to-quarter, but its continued growth on multiyear basis that will affect the comparison. The second part, which you're trying to connect to is, this license type of time-based. Remember the last year, we did transition to 606. And the mix that you're going to see in the time-based versus up front line is affected by that, that revenue transition. As we've described, the numbers and the comparisons for EDA is colored by the timing of hardware this year as well as the entity list that was affecting both the EDA and IP line, but we still feel very comfortable about a long-term and our model to drive it in the mid-to-high single digits.
Operator: Go back to Joe Vruwink's line, he's with Baird. Please go ahead Joe.
Joe Vruwink: Okay, there we go. I wanted to revisit the last question just regarding EDA performance and I think, obviously appreciate in the market uncertainty, but your customers seemed to have a more optimistic view on their R&D activity in 2020 and I would argue 2021. If that acceleration does come through, is there any reason why is your EDA business wouldn't participate in that trend?
Aart de Geus: No, there's no reason that we'd not participate because -- as I think somewhat mentioned in the preamble, we see customer to be quite aggressive in what they're designing. And so fundamentally, we are in a good market and therefore participation be it in EDA or IP in that is absolutely a part of where we should do well. I think where we are cautious just because there have been so many changes in the global market that have had some impact. As we gave out the numbers, we encompassed the fact that we thought that we'd be no change to the entity list. And so, those are the types of things that we're dealing with for the year. But fundamentally, actually, I think that we are in a long-term good market leaving alone massive GDP fluctuation or anything like that. The technology needs are high for us and that's very encouraging.
Joe Vruwink: And then if I can follow up on Software Integrity, maybe trying to reconcile the comments a quarter ago that orders were that softer to what seems really like a snap back to this 30% number. Is that just the actions you outlined a quarter ago and you started out the call talking about? Are those beginning to bear fruit already or are there some other things going on?
Aart de Geus: Well, partially, the answer is definitely bear fruit because we have invested and made quite a number of changes, suddenly in the latter part of 2019. At the same time, I don't want to set an expectation that over 30% is the norm for every quarter. That's not where we guiding towards, but the fact is this was a very good quarter from an overall point of view. And so that will manifest itself in revenue over time. So I think we have a lot of opportunities to evolve the business to be capable of rising above the 0.5 billion mark and then you sort of in a different league of management. And so many of the investments that we're making are really all aimed at, you know the skill of scaling to that next level.
Operator: And our next question from the line of Jackson Ader with JP Morgan. Please go ahead.
Jackson Ader: The first one was on hardware. So coming out of last year, you mentioned that large hardware deals slipped and I’m not sure, if we heard an update on. What the expectations are for the timing and delivery of those now in 2020?
Aart de Geus: Well, we typically don't give a specific timing of shipments because some people try to understand which customer did what to whom. But the bottom line is, one of the reasons that we think we have a strong a year overall is that, hardware will be strong and actually the demand continues in that direction. It is also true that the delivery is lumpy and that is itself is visible somewhat in the first half, second half of the year.
Jackson Ader: Okay. I think I can follow the breadcrumbs there and then just the follow up on the Fusion wins, the competitive wins, specifically where you were -- where you mentioned you were displacing a competitor. Can you just give us a sense either a mix or just identify some of the wins whether these were brand new customers to Synopsys or whether they were re winning or winning back, a customer that had maybe shifted away in the past?
Aart de Geus: The answer is yes, yes, and yes. Meaning that, they fall in all categories. In the past, that has been relatively rare that we'd be brand new customers because they used some industry was relatively stable and actually partially consolidating. That has changed substantially in two ways. One is a number of the hyperscalers are becoming interestingly -- strongly interested in doing chip design. And secondly, there's a plethora of IP companies that are doing extremely advanced design on an extremely aggressive timescale. And for those the utilization of our tools is just imperative to be able to succeed. So, we have opportunities in all farms and the bottom line is we have to continue to push hard on the technology, but right now it's very, very strong.
Operator: We'll go to Adam Gonzalez with Bank of America Securities. Please go ahead.
Adam Gonzalez: First I just wanted to ask about the China market, and can you just discuss trends there excluding Huawei and how you see that market moving forward? And then, if you see any potential impact from the proposed changes to the regulatory outlook whether that changes to the de minimis rule or the foreign direct product rule?
Aart de Geus: Sure. Well, if you take away the entity list then I would say, no change, meaning that China continues to be very active moving forward as a rapid pace, adopting new technologies, and our business is strong. Regarding the entity list, we had assumed and somewhat predicted that there would be no radical change in the near future. So far that has turned out to be true, but as we all know, things can happen in unexpected ways depending on how the tensions between the countries evolve. We do not expect that any part of the specific rules would have major impact on changes in our business because bottom line is to the entity list, we are not chipping. So that is sort of an all or nothing type cause situation already today.
Adam Gonzalez: And Trac, just wanted to follow up on the second half revenue outlook. Can you maybe give it a little more detail about what your expectations are for a split between Q3 and Q4? And then I think on the prior call you for the SIG business, you had outlined that you expect to ramp up spending this year such that margins would stay relatively flat throughout the year. Is that still the goal?
Trac Pham: Yes, that's still the goal. Let me start with the first question, this first half, second half. We do expect Q4 to be our direction of the largest quarter for revenues and EPS, and that's consistent with the guidance. With regards to SIG, we do expect the hiring ramp to continue throughout the year and that's reflected in the 200 basis point improvement. But a quarter-to-quarter, you can get a little noisy, but generally flattish with last year.
Operator: We'll go next to John pitzer with Credit Suisse. Your line is open.
John pitzer: My first question, the large North American CPU guy where you had historically a pretty good position seems to be going to kind of a fundamental change and they've been buying philosophy over the next couple where they're going to move away from doing everything, their own IP to maybe using some more off-the-shelf block IPs within their design. I'm kind of curious, what are the puts and takes or the opportunities that, that might create for you or the EDA space?
Aart de Geus: John, my apologies, but we sort of understood every section word. And so, we sort of made out of the words IP and the word trend, I think, apologize. Is it possible to, to try to summarize just sort of the three or four words that are most interested you and they'll try to fabricate a response to that.
John pitzer: Does this sound better?
Aart de Geus: Yes. There's sort of this wobbling sound as if you were underwater.
John Pitzer: Yes, I apologize. I'm on a cellphone. Is this any better or not?
Aart de Geus: Marginally so, did I get the word IP correctly?
John Pitzer: Yes. The question is that the large North American CPU guy is moving to kind of a different design philosophy methodology, where they're going to be using less of their own kind of internal IP design or off-the-shelf blocks. I'm kind of curious as to what that means for you or the EDA space?
Aart de Geus: I think I understand the question. I'll try to reask it a little bit, which is essentially of the North American CPU guys, are they changing their design methodology to use more reusable IP? Well, I want to broaden the question slightly because answering for there are not that many North American CPU guys, and it's not appropriate for me to answer in a fashion that recognizes the customers. But what I can say in general is there's no question that around CPU design, and I'll include in that GPU and all the views that are specialized for AI, the design methodology is definitely evolving. There's certainly some people that continue the old way to massively optimize for the last gigahertz, but for a majority, there's definitely a drift toward applications that use much more data so that tend to be more a machine learning-oriented. And with that comes architectures that are very much focused on getting data in and off chip. And so that in itself brings about a natural increase of potentially reasonable IP. And yes, I think the quality of the IP, the advanced nature, meaning the advanced nodes that our IP is available today and the close collaboration we have with all of these customers has made it possible that they're now counting for design methodologies that use substantially more IP than they did in the past. We expect that to continue, and we also expect to continue that the IP will become more complex because with the smaller nodes, it really takes a lot of effort to make them work very well. But it is now absolutely a distinguishing capability of the Company. So essentially, what I'm trying to express to you is the IP business is difficult, but it is a great business for us to be in because it will continue to grow. It will continue to be demanding and therefore, a good area for us to be in. And we have long-term relationships with these customers where they acquire more and more pieces from us.
John Pitzer: That's helpful. As my follow-up, Trac, you said there was no impact from the coronavirus on the full fiscal year and that's understandable. Is there any cushion that you're embedding in the current quarter guidance? And to the extent that Software Integrity is not a part of the op margin expansion during this year, how do we think about that business going into 2021? And kind of at what leverage levels would you expect there to be a significant inflection in op margin for that business?
Trac Pham: So the question is the first question is related to Q2. My comment on the coronavirus to the numbers is consistent with Q2 and the full year, it's not meaningful. This is our best outlook for the year and I think it's pretty consistent with how we've been planning the year. With regards to SIG margins, we should be improving margins in FY 2021, and that's going to be a combination of us growing that business and continuing to scale that up and be more productive with the investments.
Operator: And our next question from the line of Jay Vleeschhouwer with Griffin Securities. Please go ahead.
Jay Vleeschhouwer: Aart, for you first. In your answer just now to a question regarding the evolution of design methodologies, you put it largely in the context of the role or adoption of IT. Could you also speak to that in terms of core EDA and in terms of how customers are differentiating themselves vis-a-vis design process and the employment of the tools? I'm sure this has been the case since the primordial days of EDA three decades ago. And but when you look at the multiple applications and needs that you talk about, in what way do you think core EDA design flows, processes, methodologies are evolving or need to evolve for customers to continue to distinguish themselves aside from your incorporation of standard IP? For you, Trac, with regard to IT. In fiscal 2019, according to the 10-K, there was a $235 million positive impact from upfront IT revenue although total IT revenues increased by just over $100 million. How are you thinking about those wonderful 606 mechanics in 2020 with regard to the tough comp you would have on IT upfront revenue versus perhaps a somewhat easier comp on IT subs revenue?
Aart de Geus: Okay. Let me start. Of course, your question can lead to 0.5 hour dissertation, which I will not do. But the first thing to start with is that there's still a continuation of adoption of extremely advanced nodes, and with that comes a nonstop demand for all of our tools, all the ones reaching deep into the physics and certainly all the physical design tools to be up to speed with these nodes. And by the way, their development is less clearly defined in time, meaning that a new node comes out, and then within three months, there's another version of that node and another three months, another version. And so there's constant adaptation as people are really squeezing out the max. Now in parallel to that, maybe less relevant but still worthwhile to note is that some of the older nodes are also being put more to use as people figure out that was the new tools, they can squeeze out more value out of those nodes and not all the products need the most advanced capabilities. Having said that, on the advanced capabilities, if there are two or three trends I could highlight for the tools, one is this notion that the capacity of the tools needs to continue to increase, because on Moore's Law, the one factor that really has not slowed down is the notion of increased density. Still more transistors per chip and that adds a lot of value for what you can do. In order to do that, we need to make sure that our tools interact well with each other. And so the notion of Fusion is really profound because it attempts to have every tool understand somewhat what the other tools will do and essentially have better team play, so to speak. What comes on top of that is that now the application of AI is absolutely deeply anchored already in our business. And we have capabilities in every one of our tools that are impacted by improvements through AI and increasingly, we'll see capabilities between the tools. The last comment I'll make is in the verification space, where a trend that we had diagnosed early on continues at high speed, which is with the strengthening of the chips and the combinations of chips, and I'm looking here at things that are assembled in a 3D fashion of multiple chips talking to each other such as processors and memories and maybe sensors, the importance of being able to verify both the hardware and the software. At the same time continues to grow because whichever is the slowest or the worst of in quality will determine when something goes to market. And so that is the area where advanced stimulation techniques, emulation, prototyping play in. So those are sort of the forces that govern what we do. And I can bet that by next week, there will be yet another demand for something to keep going because there is no deceleration in sight.
Trac Pham: So Jay, on your question regarding IP, let me start by saying that we're very positive about our IP business. This is a as we described, a low double-digit growth business. And everything we're seeing in the marketplace and our bookings continue to reflect that outlook. That said, the 606 transition does introduce more variability to the numbers on a quarterly basis. But on a full year basis and on a multiyear basis, this is a very good growth business for us as reflected in the guidance for the full year.
Jay Vleeschhouwer: Also Trac, could you update us on your backlog number?
Trac Pham: Well, I know you're going to read our Q that's coming out shortly, and you'll see that the backlog is it's pretty steady at $4.4 billion and directionally up versus last quarter. And then within that, the run rate that we the business that we book was actually very positive.
Operator: And our next question from the line of Jason Celino with KeyBanc Capital Markets. Please go ahead.
Jason Celino: Hi, guys. Thanks for taking my question. The acquisition of Tinfoil fills a nice hole in the dynamic testing side for your SIG portfolio. Can you talk about how that acquisition came about? And maybe any other small holes your current offering has?
Aart de Geus: It is a very nice acquisition. And in these new markets, everybody knows everybody. And so then the question is always, are there some acquisitions that are both timely, that are economically reasonable and where we can integrate rapidly in a broader solution? And of course, we have had experience in this EDA business for many really decades. And so there's some similarity in that. And what was particularly intriguing is that Tinfoil fits so nicely in the Polaris platform. Of course, we have to do the integration. But this is exactly the type of capabilities that we'd love to have there because it makes the platform more useful, more versatile for our customers as they adopt it, and it was designed to make these type of integrations possible and not too costly. So if I add to that, the fact that Tinfoil is truly remarkable, high-quality company with some stunning individuals in terms of their ability to look at the future. We and by the way, the locals that makes it easier to integrate. So far, it looks really promising.
Jason Celino: Okay. And then similar topic, the acquisition of the IP assets over the last few months, how should we think about those as far as complementary to the growth opportunity in IP or kind of the margin expansion opportunity in IP?
Aart de Geus: Very good question. So our IP business is really two components: one is to continually drive both the breadth but I would say just as much the depth of what we do in IP. And depths would be the new technologies new versions of the technology, etc. But the other part is that actually, IP does require quite a bit of work. They are very often statement of works on delivering IP that fits exactly the needs of a customer, so maybe some small variations or some tuning for a specific technology. And so continuing to grow a workforce that can do this is just part of continuing to scale it overall. And so in both the cases of INVECAS and eSilicon was a combination of some technologies, and but most importantly, also a workforce that was very well suited for the type of needs that we have. So we see it as essentially just another way of continuing to broaden and grow our business.
Operator: [Operator Instructions] We'll go next to Krish Sankar with Cowen & Company. Your line is open.
Krish Sankar: Yes. Hi. Thanks for taking the question. I had two of them. First one for Aart. Aart, if you look at it, like high-performance computing over the last several years has swung from being centralized cloud and now it's more distributed toward the edge. Kind of curious, how does this change the EDA landscape, if at all? Did requirements for EDA change at the edge? I'm just curious on that, and then I had a follow-up for Trac.
Aart de Geus: Well, most of the super high-performance computing is reasonably centralized. But it is true that a number of the edge application, if you call a car an edge, there's a lot of computation that's going into that. And so I would say in general, the difference of design is not that marked unless you have two things that changed: one is the need for low power, i.e., battery-operated type things. And so there, you have the never-ending challenge of how much performance can you squeeze out without draining the battery in, no time. And that's not a new problem. It really started to come up when mobility came up in the early 2000s. But the other thing is that in a number of edge applications now, these computational devices can be used in machines that can actually be lethal. And a car is definitely potentially lethal but so could be a robot or so. And so with that comes a whole set of other rules that one have to serve in the design of the chips such as having the capability for a chip to diagnose itself as faulty, and in some cases, to diagnose itself and at least temporarily repair itself by having, for example, duplication of some capabilities. Now it took us a while to catch up on all those rules because many of those rules are very old. They come from the automotive industry. But now, and I think we highlighted maybe in the script on automotive. Synopsys is really well on top of this. And so much so that we now participate in the premiums where the next set of rules are being developed and pioneered. So those are sort of the differences. But for the rest, it's like it's never good enough, it's never fast enough. It's never low-power enough. That continues. And while these sound like negative words, they're music to our years, A lot more opportunity for us.
Krish Sankar: Got it. That's very helpful, Aart, and then a quick follow-up for Trac. It looks like your fiscal 2020 revenue guide is largely unexpected because of the virus. I understand the stability of your revenue stream, but I would have thought that there would have been some impact on the hardware innovation business, given that's a little more variable. Kind of curious, are you not seeing any of that impact in hardware or emulation?
Trac Pham: Well, our guidance reflects the best information we have right now, and the demand from our customers continues to be very strong. I think part of it is that it's going to be the variability is going to be mostly on the timing of it, but that's contemplated in the guidance. As far as growth goes, keep in mind every year, we look at the year and we say that it's going to be hard to grow off of a record year, which is what we had in 2019. But we feel very good about where we are and the pipeline that we've got in place.
Operator: We have a question from the line of Josh Tilton with Berenberg Capital Markets. Your line is open.
Josh Tilton: Yes, hi, thanks for taking my questions. First, on Software Integrity, just how many months are left on the total Polaris rollout? What key functionality remains to be integrated? And should we expect a step-up in margins once the platform is fully rolled out?
Aart de Geus: Maybe it's strange thing to answer, but that rollout will continue, hopefully, for a long, long time, meaning, many years. The reason is being that the basic capabilities of Polaris as a platform are there. Now the question is, how well do we integrate multiple applications? And the power of a platform is precisely because it handles multiple applications in a way that makes life much easier for the user instead of having to deal with different products that may have different interfaces, data representations, etc. So what is encouraging is that we now have already multiple capabilities on there. And you may realize that, I mentioned that the Tinfoil acquisition is slated to be integrated next. And so that's a good way to think about it. Hopefully, we can do many more things. Now the platform itself will continue to evolve. They all do and it's hard for me to say what's the life cycle for a platform in this area, which is still new to us, but if you look at sort of EDA, our platforms typically have lasted somewhere between 10 to 15 years.
Trac Pham: And helped drive margin expansion over time as we ramp up on the platform, but it's going to come across from a variety of things, both revenue growth, operating efficiencies and then getting the benefit of the platform.
Josh Tilton: That was helpful and then just following up on Fusion Compiler. Has it been going up head-to-head specifically against Cadence's full digital flow? And if so, how have the win rates been there?
Aart de Geus: Well, we really have mostly one competitor in that area and it's a very worthy competitor. So yes, we compete all the time against Cadence. Let me just leave it at the fact that, I think right now, we have a very, very strong capability.
Operator: I'll turn it back over to our speakers.
A - Aart de Geus: Well, with that, thank you for all the questions, and again, thank you for your support. We had a strong quarter. We have a whole rest of the year to go, as you know, and we look forward to talking to you again in the quarter. Be aware that for some of you, we are also available later on after the call.
Operator: Thank you. And ladies and gentlemen, this will conclude our teleconference for today. We thank you for your participation and for using AT&T conferencing service. And you may now disconnect.